Operator: Good afternoon. Welcome to Synchronoss Technologies Second Quarter 2022 Earnings Conference Call. Joining us today are Synchronoss Technologies' President and Chief Executive Officer, Jeff Miller; and Chief Financial Officer, Taylor Greenwald. Following their remarks, we will open the call for your questions. Then before we conclude, I’ll provide the necessary cautions regarding the forward-looking statements made by management during this call. I would like to remind everyone that this call will be recorded and made available for replay via a link in the Investor Relations section of the company’s website at synchronoss.com. Now, I would like to turn the call over to Synchronoss' CEO, Jeff Miller. Sir, please proceed. 
Jeff Miller: Thank you, operator. Welcome everyone, and thank you for joining us today. After the market closed, we issued a press release announcing our results for the second quarter ended June 30, 2022. A copy of the press release is available in our Investor Relations section of our website, and I encourage all visitors and listeners to view our release for the additional information on what we'll be discussing today. I'll start today's call with a review of our recent updates and highlights, before turning it over to Taylor to discuss the financial results for the quarter. After that, we'll open it up for questions. From a high level, our performance in the second quarter marked another positive step forward as we continue to drive our cloud-first strategy, and demonstrate improvements in gross margins, profits and cash flow. During the period, we grew cloud revenue year-over-year by 12%, which now represents 66% or 67%, or two-thirds of our total revenue. Our double-digit cloud revenue increase in the second quarter marked the fourth consecutive period of year-over-year cloud revenue. Underpinning this solid revenue growth is increasing subscriber adoption of our cloud product at existing customers and from successful launches of new operators, which led to 18% year-over-year subscriber growth for the second quarter in a row. The subscription-based nature of our cloud revenue product drove recurring revenue up to 87% in the quarter. Financially, this quarter demonstrated our ability to deliver strong profitability metrics as we achieved unadjusted free cash flow of positive $3.6 million, adjusted free cash flow of positive $6.7 million, and recorded a $5.3 million in net income, which was a vast improvement from our $23.9 million loss in the prior year period. Operationally, our overall pipeline remains strong and we continue to drive growth with existing customers, while also expanding into new markets and new verticals. In just the last few weeks, we successfully launched two new premium personal cloud solutions with Telkomsel marking the initial phase of our deployment, and opening the door to an additional 170 million potential customers in Indonesia. Despite the global market environment causing delays in some customer decision-making, combined with global slowdowns in mobile handset purchases and consumer spending, we were able to achieve accelerated adoption in our core offerings in the quarter. This growth highlights the continued relevance of our software platforms to consumers, the favorable impact, fixed wireless adoption provides, expanding access to our cloud offering, and the growing inclusion of our cloud application and value-added service bundles by our customers. Moving to the second half of the year and beyond, our focus remains on simplifying the composition of our business, to accentuate the strong profit and growth profile of our cloud business, while driving free cash flow. We expect continued improvements in quarterly cash generation from sustained subscriber growth, as we further enhance the bottom line through cost management. With that high-level overview, I'll now provide updates within the three product groups. Beginning with our core business, we experienced another momentum-building quarter in Cloud business. Invoice Cloud revenue, which is a proxy for cash revenue and the best indicator of our Cloud growth increased 10.3% year-over-year to $37.4 million in the second quarter. Operationally, we made clear progress in each of our three strategic Cloud priorities. As a reminder, these priorities include: number one, to protect and grow subscribers in our existing customers; two to expand our global customer base through new sales and three to deliver anchor features. Our progress with existing customers continues, as subscriber growth maintained its strong pace. As I mentioned earlier, increasing to 18% year-over-year in the second quarter improving from 16% growth in Q2 of 2021. I'd like to briefly emphasize some of the fundamental factors that drive our growth with our existing operator customers, two of the most important factors towards driving growth our gross add volume and device upgrades for existing customers including both mobile and fixed wireless consumers. Gross adds are a key contributor to growth, because they are an indicator of new users and new users receive direct offers to our Cloud solution as they are digitally introduced to value-added services such as our white-label Cloud solution in the device activation workflow. Device upgrades for existing subscribers, represent another critical point in the consumer life cycle that we pay attention to, because it presents another opportunity for our service providers to offer the Cloud solution to customers during the upgrade process. So while we were -- we saw mixed results reported from global service providers regarding net additions during the second quarter we saw healthy gross adds and device upgrade improvements year-over-year for our Tier 1 customers. The long-term opportunity for increased penetration with our Tier 1 customers such as AT&T and Verizon is sizable and we expect the strong growth trends with these customers to continue as a catalyst for our overall Cloud growth. We believe that we can sustain our double-digit subscriber growth through the combination of customers' target marketing of our Cloud application to consumers and the resulting increasing penetration of the vast subscriber base of our existing customers. Moving to priority two, global customer expansion, as noted previously, at the end of last month we launched two new premium personal Cloud solutions with Telkomsigma. The IT services and data center arm of Telkomsel which is Indonesia's largest mobile operator. Telkomsigma is now making its Floudrive Cloud solution, powered by Synchronoss available to 170 million Telkomsel mobile customers and universities throughout the country. This launch demonstrates the traction that we're continuing to gain in the APAC region, following the rollout of the Synchronoss Cloud at Kitamura, in Japan earlier this year. Earlier today we also announced, that we've signed a letter of intent with Street Cred Capital to bundle our Synchronoss Cloud solution with their mobile device financing offerings. Street Cred Capital is a leading fintech solutions provider in the mobile industry that has customers in the north among -- major North American operators, MVNOs, and retailers. This new relationship allows subscribers to finance their purchase of mobile apps such as Synchronoss Cloud, along with other products and accessories. This milestone illustrates the opportunities that we're pursuing for further market expansion, beyond the use of our personal cloud solutions directly with service providers, insurance companies and retailers. This is another example of how our global new customer pipeline is expanding across industries use cases and regions, and we'll be looking to build upon that success in the back half of the year. Regarding, the introduction of further platform enhancements. During the second quarter, we announced the certification and deployment of our Personal Cloud with the Alibaba Cloud platform that further enables our customers, the flexibility to choose the hosting service, in which they deploy their Synchronoss Personal Cloud. Our Personal Cloud solution was previously certified and is in use on Amazon Web Services today. The new certification with Alibaba provides Synchronoss with additional avenues to drive global adoption of cloud, while ensuring security, accessibility, and reliability to subscribers. Also in June, we were officially recognized as the 2022 Product of the Year winner, for Cloud Computing Magazine for our Personal Cloud. The 2022 Cloud Computing Product of the Year Award recognized as technology companies with the most innovative and beneficial cloud products and services that have been available to deploy within the past year. We believe this recognition underscores, the role our cloud solution plays in creating personalized experiences that manage share and safeguard all types of digital content across an array of devices for millions of customers worldwide. Turning to our Messaging business, we saw continued demand in Japan for our +Message service, resulting in additional license purchases and professional services engagements to enhance the capabilities of the platform. In a recent visit with our customers and our team in Japan, I was encouraged by the execution plans of the Japanese consortium, to leverage RCS or advanced Messaging for their internal applications for customer care, as well as third-party brand engagement with their consumers. Also in the quarter, we completed a significant migration to a core e-mail solution, with Altice, a multinational telecom company and service provider, marking the first fully hosted deployment on AWS. The completion of this project saw an additional 1.3 million subscribers, to our core e-mail solution, as they migrated away from a competitor offering. Additionally, we certified and deployed our core e-mail solution on the Google Cloud platform, which allows our customers to deploy and scale the Synchronoss e-mail suite globally. Our successful certification with Google Cloud, exemplifies the opportunities to expand our e-mail and Advanced Messaging solutions. And we remain focused on supporting our existing customers, while driving profitability and cash flow through these businesses in a way that's compatible and in support of our complementary cloud business. Moving to our digital operations. The most significant development in Q2, was the successful divestiture of our digital experience platform, and activation solutions to iQmetrix. This planned transaction closed in May and carried an all-in consideration of up to $14 million. The sale of our – DXP and Activation assets was an important step in our goal to simplify the focus of our business. It also provided us with additional capital to help us improve our balance sheet. Despite the divestiture of DXP and Activation, we saw year-over-year growth in the second quarter in both our iNOW and financial analytics products. Going forward, we expect our remaining digital business to drive steady revenue stream and a healthy profitability for the company overall. As I've alluded to today and on recent calls, there are broader industry trends at play that bolster Synchronoss' near and long-term growth trajectory. These include 5G expansion, fixed wireless access, bundled service offerings and total protection plans. 5G is the enabler of many enhanced consumer applications and experiences. And both, our cloud and messaging solutions, leverage that network enhancement to deliver expanded access and improved performance to consumers. Fixed wireless access is such an application that's being highly prioritized and pursued by our existing Tier 1 operator customers as it represents an opportunity for them to capture a greater share of the residential high-speed Internet market, leveraging those 5G investments. Operators are looking for strategic advantages to gain greater market share and Synchronoss Cloud for the home solution is now proven to be a strategic addition to consumer bundles to do just that. These consumer bundles represent a significant tailwind as they also represent the pervasive trend for global service providers to deliver their array of value-added services. These services are all intended to raise ARPU reduce churn and attract new customers. We're seeing cloud integrated into both mobile and home bundled offerings at an increasing frequency, which is particularly salient in tough economic conditions in inflationary environments as consumers turn to bundles to maximize value. Thus our cloud growth to a degree is insulated from some of the macroeconomic pressures seen in today's telecom market. Global operators are focused on achieving high average revenue per user through premium bundles and we believe that there's an appetite for further expansion of these premium bundles to include enhancements, such as total protection plans, which provide security and protection for consumer communications and digital content. Overall, Synchronoss is well positioned to take advantage of these industry trends, especially as it relates to our cloud offerings. And as always, we'll be keeping our fingers on the pulse of the market to capitalize on emerging developments. In summary, our second quarter results reflect progress that we're making towards generating a strong, sustainable cash flow engine. We demonstrated significant progress by delivering positive net income and positive unadjusted free cash flow in the quarter. And these improved financial metrics coupled with the strong tailwinds and operating momentum in our cloud business indicate that Synchronoss is well positioned for growth and profitability in 2023. With that, I'll turn the call over to CFO, Taylor Greenwald to discuss our financial results for the quarter in greater detail. Taylor?
Taylor Greenwald: Thank you, Jeff. Before I move on to our full financial results, I'd like to briefly discuss some of our key performance indicators, which serve as the leading success metrics for our business. First are the sustained gains in our cloud revenue, driven by the accelerating cloud subscriber growth of 18% compared to a 16% increase in the prior year. This growth contributed to a 12% year-over-year increase in the second quarter cloud revenue. Looking at revenue by product, cloud revenue of $43.5 million was up 12% on a year-over-year basis and increased to 67% of total revenue in 2022, up from 54% in 2021. This performance clearly reflects our strategy to make our cloud business the primary focus and driver of the company. Digital revenue of $10.4 million was down 14% on a year-over-year basis due to the divestiture of non-strategic assets and made up 16% of total revenue. Messaging revenue of $11.3 million made up 17% of revenue and was down 45% year-over-year as anticipated due to the dissolution of the cross-carrier messaging initiative that occurred in 2021. Quarterly recurring revenue was 86.6% of total revenue in the second quarter, an increase of 170 basis points from 84.9% of total revenue in the first quarter. On a dollar basis, quarterly recurring revenue was $56.5 million, up $55.9 million in the first quarter. The increase in recurring revenue dollars was driven by the increase in cloud subscription revenue. Invoiced cloud revenue increased 10.3% year-over-year to $37.4 million. This is an improvement from $36 million, or 6.4% year-over-year growth in the first quarter. As a reminder, this metric is intended to provide greater transparency in the underlying revenue trends within our cloud business. Invoiced revenue represents the cash revenue earned in period and is a direct reflection of the overall health and trajectory of the business. Invoiced cloud revenue is not impacted by changes in deferred and unbilled revenue and more accurately displays the growth of our core cloud business. We expect continued growth of invoice cloud revenue in future quarters driving improvement in our cash flow, as subscribers continue to grow and new customers come online. Turning now to our financial results for the second quarter ended June 30, 2022. Total revenue in the second quarter decreased 9%, or $6.3 million to $65.2 million from $71.5 million in the prior year. Growth in cloud subscription revenue was offset by approximately $9 million of revenue received from the company's CCMI contract in the prior year as well as approximately $3 million of lower digital revenue due to the company's DXP and Activation divestiture. We expect growth in cloud revenue to continue to outpace Digital and Messaging revenue going forward. Gross profit decreased 3% to $42.9 million, or 65.8% of total revenue from $44.4 million or 62.1% of total revenue in the prior year period. The decrease in gross profit was primarily attributable to decreased revenue in the company's messaging business from the CCMI dissolution and the previously noted DXP and Activation divestiture. The gross margin percentage was a multiyear record for the company and the increase in gross margin was primarily attributable to increased revenue from high-margin cloud subscriber growth, a Messaging license sale during the quarter and ongoing benefits from cost savings initiatives. Income from operations was a positive $4.9 million, compared to a loss of $4.1 million in 2021. The $9 million improvement in operating income was a result of increased high margin cloud revenue, reduced SG&A expenses, greater efficiency of R&D resources and other cost savings initiatives implemented throughout the year. Net income improved to $5.3 million, or a positive $0.06 per share compared to a net loss of $23.9 million, or a negative $0.54 per share in the prior year period. The significant improvement in net income was primarily attributable to operational improvements and lower preferred stock dividends resulting from the company's June 2021 recapitalization. Adjusted EBITDA increased 7% to $14.2 million, or 21.8% of revenue from $13.3 million, or 18.6% of revenue in the prior year period. The increase in adjusted EBITDA resulted from increased revenue, from high-margin cloud subscriber growth and cost savings initiatives, which more than offset the impacts from the cross-carrier messaging initiative and the DXP and Activation divestitures. This is the second time in the last four quarters, our adjusted EBITDA margin has exceeded 20%. Moving to the balance sheet. Cash and cash equivalents were $25.5 million at June 30, 2022 compared to $21.7 million at March 31. Free cash flow in the quarter was a positive $3.6 million and our adjusted free cash flow, which excludes restructuring charges and expenses associated with legal matters was a positive $6.7 million. In addition to the favorable operating results, contributing to the positive cash flow during the quarter was $4.3 million received in tax refunds.  Below the free cash flow line, we received $7.5 million of initial proceeds from the DXP and Activation divestiture. As a reminder, approximately $28 million of tax refund claims are included on the balance sheet within our prepaid assets, down from $32 million at the end of the first quarter. As I just mentioned, we received $4.3 million in refunds from the IRS in the second quarter and we have applied those proceeds to redeem preferred shares. The remaining tax refunds are still under audit. We're responding to the IRS data request in a timely manner, and the audit is progressing. It's difficult for us to estimate when the audit will be concluded. It's our intention to use the remaining tax funds, to pay down the preferred shares when they are received. One additional item, before I discuss our outlook for the remainder of the year. In June, we announced a successful resolution of a legacy investigation by the US Securities and Exchange Commission, regarding our restatement of selected financial data from 2013 to 2016. This matter relates to historical transactions that the company restated almost four years ago and we believe that reaching this resolution now, is the right outcome for our shareholders, customers and other key stakeholders. As part of the settlement, Synchronoss has agreed to pay a civil penalty in the amount of $12.5 million in total, to be paid out from our operating cash flow in equal quarterly installments over two years. The initial $1.6 million quarterly payment is reflected in this quarter's results, bringing the liability on our balance sheet associated with the SEC settlement, down to $10.9 million.  Moving to guidance. Beginning with our KPIs. As we look at the remainder of 2022, we expect year-over-year cloud subscriber growth to continue at a double-digit rate in subsequent quarters. Our Invoiced Cloud revenue has grown 8.2% in the first six months of 2022, and we expect this growth to also continue. Moving to our Q3 outlook. We expect third quarter revenue and EBITDA to be down slightly from second quarter levels. This takes into consideration the impacts from the approximate $2 million of revenue recognized prior to the divestiture of the DXP and Activation assets in the second quarter and not repeating in the third quarter and recognition of approximately $4 million in deferred non-cash revenue from the cloud business, which will also not repeat in the third quarter. While we still expect to be free cash flow positive on an adjusted basis for the year, management expects third and fourth quarter cash flow results to decline, comparable to the second quarter due to the nonrecurring tax refund and timing of cash receipts and expenses. Looking ahead to 2023, we expect to be cash flow positive on an unadjusted basis given the trajectory of our cloud business and the actions, we've taken to drive down our cost structure. For the 2022 fiscal year, we're narrowing our total GAAP revenue range between $260 million and $270 million from a previous range of $260 million to $275 million. The comparable 2021 revenue is $265 million, after adjusting for the sale of DXP and Activation assets. Despite delays in some customer decision-making and expectations to the macroeconomic environment, our sales pipeline remains healthy and subscriber growth continues to be strong. We're also narrowing our full year 2022 expectations for adjusted EBITDA performance to $48 million to $55 million from a previous range of $45 million to $55 million, as we continue to have success driving profitability. The second quarter provided further evidence that our strategic initiatives to simplify the business in order to drive revenue growth and improved margin profile and positive cash flow are working. As we move into the second half of 2022 and 2023, we expect these trends will continue. I'll now turn the call back over to Jeff.
Jeff Miller: Thank you, Taylor. Before I go into Q&A, I have one final update. Effective August 12, 2022, Taylor Greenwald will be taking a leave of absence from Synchronoss to allow him to devote time to his family and care for a personal medical manner. The length of Taylor's leave of absence is unknown at this time, but to ensure that we provide continuity of leadership, the Board of Directors has appointed Lou Ferraro to the role of acting CFO effective August 12. Given Lou's deep knowledge of the business, his prior CFO experience and his close working relationship with Taylor and the finance team, we expect a seamless transition with both internal and external stakeholders. We certainly send Taylor and his family our best wishes during a challenging time. Taylor's leadership over the past several quarters has boosted the performance of our finance team. So, I'd like to express my personal gratitude for the work he's done to make this transition as smooth as possible. I'll now turn it over to the operator for Q&A. Thank you.
Operator: Thank you. [Operator Instructions] And our first question comes from Josh Nichols with B. Riley. Your line is now open.
Josh Nichols: Thanks for taking my question. Great to see the double-digit subscriber and cloud revenue growth on that piece of the business. You touched on it a little bit during the call. I know there's a lot of questions macro that everyone is circling. You guys seem to be relatively insulated. But could you talk a little bit about, anything you're seeing in terms of churn or customer adoption specifically on the cloud business, there's been mixed reports from different carriers about net adds, but I'm curious how that is kind of juxtaposing the fact that more people are using 5G and the home Internet that the carriers are pushing as well and how that translates to your revenue trajectory?
Jeff Miller: Sure. Thank you, Josh for the question. And certainly, there have been a wide variety of reports made by operators, particularly in the United States with regards to net adds and overall growth in subscribers. We have been fortunate, if you look a little bit deeper into some of the metrics as I mentioned in some of my comments, that gross adds were still rather solid and in fact growing on a year-over-year basis for customers like Verizon. Similarly, they saw a 15% year-over-year growth for upgrade. And those factors do contribute favorably to the presentment and the activation of cloud services. So, fortunately that has insulated us to some degree. But we also have the benefit of a new factor that's contributing to our cloud adoption that was almost not even present a year ago and that's fixed wireless access. That's an entirely new area that you're hearing and seeing growth from all of the operators in the United States and many outside the United States as well. And since we have our Cloud for Home solution now available, it is another avenue for our subscriber growth. And then finally, we believe that the bundling that continues to be pervasive across the market in the US and globally, is one where we were getting and continue to get more subscribers signing up for those 5G plans that include premium bundles, including value-added services like Cloud. The combination of all of those things make us feel confident that that double-digit subscriber growth will continue, despite what might be mixed messages out there on net adds in the market.
Josh Nichols: Thanks. And just wondering if you could provide a little bit more granularity regarding the outlook, specifically I know you said, 3Q revenue and EBITDA would be down a little bit, but how much of that is really related to the divestiture that you had? I know that was like a $2 million of revenue in the quarter. And any particular details you can provide about the three segments a little bit more on the outlook for those for the back half would be helpful?
Taylor Greenwald: Yes, certainly. So if we look at the Cloud business, we have about $4 million of deferred revenue that ended in Q2 that will not repeat in Q3. So from a GAAP basis, we're going to have some headwinds on the revenue line. But from an Invoiced Cloud revenue, which is really the key metric in terms of the true cash that the business is generating, we expect that to continue growing as the past couple of quarters have grown. And then I would say, for the digital business and the messaging business, yes, we continue to see those businesses as stable to slightly growing. As we mentioned on the digital business, there will be a couple of million dollars of headwinds related to the DXP and Activation revenue that was in the second quarter, it's not to repeat the third quarter, but those businesses will be stable to slightly growing for Q2.
Jeff Miller: And the only thing that I would add is that typically the case, we anticipate that there will be additional license purchases in the messaging business in that second half, as is often the case, primarily in our Japanese operator community as we continue to see growth and adoption of the +Message service in that market.
Josh Nichols: Great, thank you.
Jeff Miller: Thank you, Josh.
Taylor Greenwald: Thanks Josh.
Operator: One moment for our next question please. And our next question comes from Jon Hickman with Ladenburg Thalmann. Your line is now open.
Jon Hickman: Hi. Could you elaborate a little bit on what's happening with RCM in the United States? If anything?
Jeff Miller: Yes. Hi, Jon. Good afternoon. You mean RCS, the RCS messaging...
Jon Hickman: Yes, rich messaging, yes.
Jeff Miller: Yes. So, as we discussed a bit last time, we've now launched with a Tier 1 carrier here in the United States. And in fact Verizon now has their RCS service up and running on the Synchronoss platform. However, it's still early days and I say that, because they only have a limited number of devices that are currently utilizing that platform and a limited number of brands that are taking advantage of it as well. Some of that is because they're still working on completing interoperability across the US carriers such that they're all utilizing the same Android app to access RCS and to proliferate and bring more brands to bear. We anticipate continued expansion through the second half of this year of bringing new brands as well as new devices onto the Verizon RCS platform. But the platform is up it's running. It's operational. And I would expect that the revenue aspect of that which starts to really pick up some speed in 2023. But that matches our expectations and is consistent with the guidance that we've provided. 
Jon Hickman: So is that going to be available on the iOS platform too?
Jeff Miller: It is. It will primarily start with Android. In fact today, there's really one Samsung device that's currently operational, but we expect that and we we'll be in a position to help support them, expand that to the iOS community over time as well.
Jon Hickman: Okay.
Jeff Miller: And that's consistent with what we've done in Japan just to create a corollary where we have in the app store in Japan, a single app that's downloadable for all three of the operators that we support there and we enjoy consumers utilizing the RCS service there both on Android and iOS operating systems.
Jon Hickman: How many devices is this available in Japan?
Jeff Miller: Well over 25 million and we believe that they'll be soon announcing an additional milestone there. So it's rather pervasively deployed in that market.
Jon Hickman: Okay. So is it fair to say that pretty much any phone you buy in Japan would be able to download the app and use the service?
Jeff Miller: Absolutely. And in fact it's typically preloaded. The +Message app that's provided by Synchronoss is preloaded to all Android devices launched by the three operators in that market.
Jon Hickman: Do you anticipate that to happen here in the United States sometime?
Jeff Miller: We anticipate that in the United States, they'll be using the Google messenger client, which will be essentially the app or the entry door for RCS solution and that will be used across the operators in the US. They've all made a public announcement to that effect. We think that's a very positive development because that brings more universal access and ubiquity to accessing RCS and we think that will bring more consumers and it will bring more brands over time.
Jon Hickman: Can you remind us how you get paid on that?
Jeff Miller: Yeah. In the market in the United States, it's going to be based upon message volume on the platform. We currently have minimums, where we're generating revenue today and supporting the platform based on minimums. Once the volume starts to pick up on messages, we would then be paid on a per message basis as that grows. 
Jon Hickman: Okay. Thank you so much.
Jeff Miller: Thank you, Jon.
Jon Hickman: That’s helpful.
Operator: Thank you. [Operator Instructions] Our next question comes from Michael Latimore with Northland Capital. Your line is now open.
Aditya Dagaonkar: Hi. This is Aditya on behalf of Michael Latimore. Could you give some color on if there's any effect of inflation or the possible recession on your subscriber growth or maybe even on your sales cycle?
Jeff Miller: Inflationary pressure was that the question? 
Aditya Dagaonkar: Yes, that's right.
Jeff Miller: We've not seen any material inflationary pressure in the commercial activities right now for the business. We may see some inflationary pressure as it pertains to payroll costs and expenses in that arena, but not in the operational indications or negotiations with customers to date. We are fortunate to some degree, that we are being colluded in these bundles as I mentioned earlier. And oftentimes, that's allowing a consumer to get greater value with more services including cloud, for a fixed price. That has helped us we believe, as a contributor to avoid some of that inflationary pressure. 
Aditya Dagaonkar: All right. Can you also just tell me, what's your current headcount? And what do you think it might be by the end of the year? 
Jeff Miller: Current headcount and what we expect it to be by the end of the year. 
Taylor Greenwald: Yes. So our current headcount is approximately 1,400 employees. We probably see that relatively stable throughout the rest of the year, it may drift down a little bit, but I don't see significant changes. 
Aditya Dagaonkar: All right. Thanks. Thank you.
Taylor Greenwald: All right. Thank you.
Operator: Thank you. At this time I'd like to -- this concludes the Q&A portion I'd like to hand the conference back over to Mr. Miller, for any closing remarks. 
Jeff Miller: Thank you. And as always, I would like to thank the Synchronoss team for their hard work and unwavering dedication to our customers and their commitment to excellence and innovation that have made these results possible. We appreciate those who joined us today on the call, for your interest in our company and to our investors. We thank you for your continued support. We look forward to meeting, many of you over the course of the next couple of days and weeks and we want to thank you all, for your time and dedication. Operator, I'll turn it back to you. Thank you. 
Operator: Thank you. Before we conclude today's call, I would like to provide Synchronoss’ safe harbor statement that includes important cautions regarding forward-looking statements made during this call. During this call, management discusses certain factors that are likely to influence the company’s business going forward. Any factors that are discussed today are not historical, particularly comments regarding our prospects and market opportunities should be considered forward-looking statements within the meaning of applicable securities laws. These forward-looking statements include comments about the company’s plans and expectations of future performance. Forward-looking statements are subject to a number of risks and uncertainties, which could cause actual results to differ materially. All listeners are encouraged to review the company’s SEC filings, including its most recent 10-K and 10-Q for a description of these risks. Statements made during this call are made as of today, and the company does not undertake any obligation to update or revise any such forward-looking statements whether as a result of new information, future events, changes in expectations or otherwise. Please note also that throughout today’s call, management discusses certain non-GAAP financial measures, such as adjusted EBITDA. Although the non-GAAP measures are derived from GAAP numbers, adjusted EBITDA does not necessarily equate to cash generated by operations as it does not account for such items as deferred revenue or the capitalization of software development. Today’s earnings release describes the differences between the company’s non-GAAP and GAAP reporting and presents a reconciliation for the periods reported in the [ph] release. Thank you for joining us today for Synchronoss Technologies’ second quarter 2022 earnings conference call. You may now disconnect. Everyone, have a wonderful day.